Sebastian Frericks: Good morning, ladies and gentlemen. Thank you for joining us today. Welcome to our analyst conference of Carl Zeiss Meditec AG.  I'm Sebastian, I'm the Head of Investor Relations. And with me, as usual, I am delighted to have with me today, our President and CEO, Dr. Ludwin Monz. Ludwin, welcome; our CFO, Justus Wehmer, on the other side. Welcome, Justus; and two special guests, Dr. Markus Weber, our new designated CEO as of January, who will briefly introduce himself today; and Dr. Euan Thomson, the Head of our Ophthalmic Devices segment, who also I'm very thrilled to have him join us today for this presentation. I would like to hand over now to our Executive Board to give you an introduction to the financials of the 12 months 2021. After that, we'll have a strategy presentation on our cataract and digital strategy by Euan Thomson. And after that, we look forward to your question. I'll explain this again in the course of the presentation. But just let me get it out of the way right now. One technical feature to consider, which deviates from our usual proceedings here. After this live streaming session is over, if you want to join the Q&A session, which we would encourage you to do, you'll have to switch to a Teams session. You'll have received 2 links. We'll also put it up here again at the end of this presentation. If you don't find the data, you can also reach out to us in the meantime. So we give you a 5-minute break or so to switch sessions and we'll explain the proceedings again at the end of the board presentation of the OPT presentation. With that, let me hand it over to Ludwin. Please go ahead, Ludwin.
Dr. Ludwin Monz: Yes. Thank you, Sebastian. Good morning, ladies and gentlemen. Welcome to Carl Zeiss Meditec's 12 month 2021 Analyst Conference. We are here in Oberkochen in Germany today as we want to present not only our financials, but also I want to provide you some background information about our innovations, which we just introduced. We had hoped originally that all of you could come here to Oberkochen and we could meet you here. Unfortunately, that's not possible because of the pandemic, which really is a shame, but that's just the situation I ask you for your understanding. So let's have a brief look at the agenda. I will start off with a short overview about the results of last fiscal year. Then my colleague, Justus Wehmer, will provide you some more details on the financials in the next section of our presentation. Then we have the highlights section, I will talk about key elements, one key element of our strategy, namely the recurring revenue. Furthermore, I will provide you an overview about the just introduced new innovations. Yes, as you know and as was announced in end of September, this is my last analyst conference with Carl Zeiss Meditec as I'm leaving the company by the end of this calendar year. Therefore, I'm really glad to introduce my successor, Markus Weber. As you heard, he's here with us today. And he will introduce himself also in the third section of our presentation. Finally, in the last section, I will give you an update on the outlook for the remainder of the fiscal year. This will conclude our presentation of the financials. And afterwards, we will have a second presentation given by Euan Thomson. Euan is our Head of the SBU Ophthalmic Devices, and he will talk about our strategy in this field and focus on really exciting developments in our cataract surgery business. Furthermore, he will introduce you to our digital ecosystem. So let's turn to Slide #3. I'm happy to report record revenue and earnings figures for this fiscal year. In the fourth quarter, the positive trend which we already had seen in Q2 and Q3 continued. Once again, we saw a really strong performance of our consumable business. And on top of that, our device business continued to recover, although we were dealing with some challenges in the supply chain, particularly in the second half of the year. Revenues reached €1.647 billion, and that is a significant increase compared to prior year adjusted for currency effects. And this number corresponds to growth of 26%. As a result of the supply chain challenges, we have a larger-than-usual order backlog. Our order intake was €1.731 billion, also a new record high, and it was obviously substantially higher than revenue. As we will see later, all regions were able to grow by more than 20% versus past year, which indicates a global economic recovery compared to the prior year. In terms of SBUs, both MCS and OPT grew significantly. Justus will discuss the contributors more in detail in just a minute. Let me mention that the EBIT margin increased to 22.7% versus 13.8% in prior year. Yes, clearly, the comparison base of last year is very low. Nevertheless, the margin is really high due to the strong top line, but also due to positive mix results both in terms of products and regions and, in particular, due to a still pretty low expense level. Our net income reached €238 million, which corresponds to earnings per share of €2.64 per share. I can tell you that we are quite happy with these results as the pandemic is still ongoing. There is a high volatility, and it is quite difficult to plan and manage the development. But having said that, now I would like to hand over to Justus, who will provide you more background and will discuss the figures a little bit more in detail. Justus?
Justus Wehmer: Yes. Thank you, Ludwin, and also a very good morning here from my side to all of you out there. It's a shame that we don't have you personally here. I hope really that next time we can make it happen to see you here and actually can demonstrate our products to you live. As Ludwin said, I'm now going to give you a more detailed overview of our financials, starting with, as always, with the performance of our Ophthalmic Devices strategic business unit. Revenue came in with €1.256 billion. Compared to prior year, this represents a reported increase of almost 27% and at constant currency, roughly 30%. Growth continued to be driven by our consumables business, but also devices sales recovered quite nicely throughout the second half of the year. Especially in our Refractive and Surgical Ophthalmology businesses, we see continued strong growth. The EBIT margin increased significantly compared to last year due to the revenue trends on the one hand side and cost trends on the other. As Ludwig mentioned before, OpEx especially in the discretionary expenses such as sales and marketing remain on a level well below our expectations despite a bit of an uptick as expected and already announced in our earlier Q call during the last 3 months of the fiscal year. Travel restrictions were somewhat eased, as you all know. And in fact, actually some conventional, which means non-virtual trade shows and conferences took place both in Europe and the U.S. Clearly, the comparison base of last year is very low. Nevertheless, the margin is very high due to the strong top line, positive mix effects, both in terms of products and regions, and in particular, due to a still pretty low expense level. Our net income reached €238 million, corresponding to earnings per share of €2.64. And I just realized, I have to apologize that I was on the wrong sheet here. So obviously, we go forward with Microsurgery. Microsurgery delivered solid performance given the actual circumstances with revenue of €391 million compared to previous year, €345 million. Business overall significantly improved in the second half. Please keep in mind that this business is somewhat late cyclic. It was hit by the pandemic only very late, but then it took also longer to refill the project funnel. The revenue increase of around 13.4%. And at constant currency, 17.1%, is a return to solid growth after several slower quarters. EBIT margin is still very strong despite some negative foreign exchange impacts in our gross margin and increased expenses, especially in R&D. With that, let's have a look at the revenue growth rates in the regions. The regional development was a bit mixed, but we enjoyed strong growth in all regions. Revenue in the Americas came in at €449 million, an increase of 16.9% at constant currency, almost 24%. The U.S. business grew by 16%. At constant currency, 24%, so quite heavily impacted by currency effects. Latin Americas recovered and saw also a significant increase of roughly 21% versus previous year. In EMEA, we achieved sales of €433 million. Overall, an increase as reported of 19.4%. At constant currency, 21.2%. Due to the differing local lockdowns, we saw quite heterogeneous developments in our core markets. So in Germany, for example, it was rather a single-digit growth, whereas in France, U.K. and Spain, we saw double-digit growth, some of them almost triple digit. Finally, Asia Pacific accounted for €765 million of revenue plus 30% almost as reported. And at constant currency, 31.6%. Again, China, including Hong Kong, was outstanding with 45% growth year-over-year, clearly driven by the comparable earlier recovery from the pandemic and some pent-up demand in the consumables business. The picture was mixed in the rest of Asia Pacific. India saw a strong recovery, returned to double-digit growth rates. Same for Southeast Asia. Japan was rather on a similar level like last year. And South Korea also saw again, very good growth, double-digit level. Now with that, we move on to the profitability, which we show here with our key financials. So the P&L lines here, as you see, are nicely summarized in the chart. And actually, it shows a somewhat unreal business situation in the second year of the pandemic. While we returned to growth, we could add more than €220 million of gross profit versus last year, supported of course by favorable regional and product mix. On the other side, OpEx in the same period only increased by less than €30 million, primarily driven by R&D expenses due to our continuous investment in strategic developments, development projects, mainly in the field of surgical ophthalmology and digitalization. We had a onetime effect in our other results, which was €2.4 million due to the sale of an office building in Lena. The EBIT came in at €374 million, which is well above prior year's level of €178 million. And EBIT margin came in at 22.7% versus 13.3% in the previous year. Record level, as Ludwin already highlighted, significantly ahead of our latest outlook and midterm guidance level. Yes, the adjusted EBIT margin amounted to 23% and there are rather small effects related to purchase price allocations and related depreciations in both periods. And of course, we adjusted the onetime effect of the sale of the building. With that, we come finally to the cash flow statement. Operating cash flow is at €363 million, doubling versus previous year's €179 million, obviously due to the positive EBIT development. Working capital is -- sees a significant increase in accounts receivables, obviously, due to the sales development. On the other hand, we see stable inventories and increased trade payables, again related to the increased business volume. The cash flow from investing activities sees mainly payments for property and plant and equipment. Please remember, we are setting up the China production for our IOLs. And also in other parts of the world, we are increasing and growing our production capacity. And in intangible assets, we have also some increases. Cash flow from financing activities is mainly influenced by changes in receivables and payables in -- on our treasury accounts as well as the dividend payments. And with that, I hand it back to Ludwin for the highlights and the outlook.
Dr. Ludwin Monz: Yes. Great. Thank you, Justus. That brings us to the third section of our agenda, which are highlights. And we have a couple, but I will start with recurring revenue. I'm really happy to report another year of progress with our recurring revenue business. As you know, it has been a strategic goal to grow the share of recurring revenue as it is more profitable than the equipment business, but also has a different dynamics in a crisis. And the pandemic clearly showed that this is true and that we can greatly benefit from consumable business in such a situation of a crisis. Our revenue with consumables and services advanced by around 2% to now 41% of our total revenue. Our most important consumables are IOLs, but also OVDs and refractive treatment packs. I should also mention the trades for surgical microscopes. As you can see on the left-hand side of the chart, our recurring business grew substantially during the pandemic, contributing to our resilience during this very difficult period. However, the growth is even more impressive long term. Since Carl Zeiss Meditec was spun off from this Zeiss Group nearly 20 years ago, the recurring revenue ratio has more than quadrupled. As shown in the pie chart on the right-hand side, it was at 9% in 2002 and 03. We expect further growth of this ratio also in the next few years. Some of our recent product developments such as the phaco business are specifically targeting further growth of the consumable revenue. Yes, so much about that. Now, I would like to talk about the launch of metro innovations, so here you see an overview about the series of innovations which we just introduced in the last few months to the market. I would like to point out that these are not just some pieces of heart or software, as Euan will present in a few minutes in his talk on cataract surgery and our digital solution. Some of these innovations will really change and improve our strategic positioning significantly. But let me give you an overview. Firstly, we introduced the Zeiss Medical Ecosystem on the left hand side of this slide. This is the key strategic element, bringing really everything together, connecting all devices with a cloud and combining the data and thus generating value to our customers immediately. Secondly, there are three new hardware products all embedded into this ecosystem. Starting with our new phaco system QUATERA 700, the technology brings a fluidics in eye surgery really onto an entirely new level. We believe that there is nothing comparable to the patented Quattro Pump technology of this product in the market. QUATERA 700 is an essential part and completes our integrated cataract workflow. Euan Thomson will speak about this in his presentation, as you will see the level of integration and connectivity of the involved devices is unique in the industry. As mentioned before, on the economic side, it is important to note that they will be a new consumable. The Phaco Cassette will contribute to our consumable strategy. The next new product is LUCIA 621, which is a further enhanced monofocal hydrophobic C-loop IOL for the experts among you. The lens features unique size optics and is designed to compensate for a range of operations of the eye. The design is more forgiving for lens misalignments and centration errors, which can occur during eye surgery. Together with some more features, this makes a highly reliable lens with consistently good clinical outcomes. Finally, we have introduced a new generation of our femtosecond laser for refractive surgery. The most impressive advancement of VISUMAX 800 is its speed. It can perform a lenticular cut in a SMILE procedure in less than 10 seconds, which is really a very short. This is something surgeons are really excited about. And on top of this product feature, there are numerous other innovations. Of course, VISUMAX 800 is also connected with our ecosystem. Yes. So much about products and revenue development, dear ladies and gentlemen, at this point, I would now like to introduce my successor as the President and CEO of Carl Zeiss Meditec, Dr. Markus Weber. Markus will take over the lead of the Company by the 1st of January, 2022. So, Markus please come here and introduce yourself.
Dr. Markus Weber: Thank you so much, Ludwin, and also a very warm welcome from my side, good morning, everybody. Actually, it's a great pleasure to have the opportunity today to introduce myself. And my background is in physics, actually directly after receiving my Ph.D. in 2002. I already joined Zeiss in the semiconductor manufacturing technology. So this is really the semiconductor market. And after roughly seven years in the semiconductor world and different leadership positions, actually I entered and joined Meditec as Head of Advanced Development in Microsurgery. And in these days, we developed especially the basic technology for robotic systems especially for the KINEVO. So after that, I went over to Corporate Research and technology, and the corporate research and technology division is the central division, which takes care of the basic technologies within Zeiss. So that means over all, the segments actually really using and leveraging their opportunities around in Carl Zeiss. And in these days, we already started and since 2009, I'm heavily involved in life sciences and biomedical research. We already started this development of the basic technology for Meditec, and for instance for CLARIS 700. So after these years in corporate research and technology, I joined Carl Zeiss Microscopy GmbH, as a Co-CEO, actually together with Eustace Semmes. So, he used to be also Co-CEO in Microscopy, and then at the end, actually as CEO and President of Microscopy. And in these days, there was also -- as you can imagine, it's actually all the technologies in Microscopy, and actually, we you had a very, very strong focus on digital platforms and ecosystems, which is also very valuable for Meditec and Euan will talk about more about that, but also in terms of workflows. So, a lot of great experiences there. And then, actually I was asked to join the Executive Board of Carl Zeiss AG in one hand and taking over the semiconductor manufacturing technology segment and division. In these days, I was then indirectly a colleague of Ludwin and we worked really very closely together. So, this is then also the reason that I was very happy when I was asked, actually to become the successor to Ludwin and coming back in a way to Meditec. So the last six weeks of hand over was just wonderful because I really get connected again to the team, to the new technologies, workflows, but also especially to the customers. And this was a great experience. And actually I was very grateful, actually -- this is the good handover between Ludwin and myself. So having that said, I'm looking very forward actually also to our collaboration that I have to opportunity that I can increase and gain additional value to our shareholders here within Meditec together with the team. I'm very looking forward to working with the team, this Meditec on the future success. And with this, I would like to hand over to Ludwin again.
Dr. Ludwin Monz: Yes. Thank you, Markus, and welcome at Carl Zeiss Meditec. I unbelief that's an excellent choice and Markus will certainly continue the success story of Meditec. Yes, ladies and gentlemen, that brings me to the last point of the financial part of our presentation, and that’s our midterm and short-term guidance. So, you see it here on the slide, although our industry is still impacted by the COVID-19 pandemic. We believe that it will continue to benefit from a highly favorable long-term growth trends. And these trends, as you know, are the aging of the population are growing wealth in large parts of the world, rising access to healthcare in rapidly developing economies and increasing information access. These trends are lead to a growing number of patients and thus a higher load to the healthcare systems. Lastly, digital solutions, telemedicine and AI driven features are becoming more and more relevant also in ophthalmology. As you will also see in the next presentation, we are addressing all these trends and we'll continue to invest in research and development over the next years. The outlook for the fiscal year '21, '22 is actually a positive one. We aim to outperform our markets; however, not only Zeiss, but the entire industry is impacted by the tense situation of the global supply chain. We cannot rule out an additional impact on market growth from this challenge. As we have pointed out, we have finished last fiscal year with a substantial order backlog, and it is very hard to say how long this situation will last. We estimate our EBIT margin for fiscal year 21-22 to be between 19% and 21%, which would be down slightly from the record levels of last fiscal year. As we were discussing for the most of the year, we expect more normal levels of our operating expenses, particularly in sales and marketing. This applies even more as we have just launched many new products. Midterm, we continue to have a significant investment needs as we want to further broaden our global presence and want to continue to drive our innovation strategy with a high level of R&D investments. However, on the other hand, we consider the high level of recurring business as mostly sustainable, profitability will clearly benefit from this trend. The higher cost will be partly compensated by a higher level of recurring business. Therefore, we are confident that we can achieve an EBIT margins potentially above 20% in the midterm. With that, we have come to the end of our prepared remarks on the financial and before we move to the second part of our presentation, please allow me for some personal comments. As you know and as was mentioned before, I will leave Carl Zeiss Meditec by the end of the calendar year after more than 11 years at the helm of the Company. It was an incredible time and I really would like to say that I enjoyed it very much. However, the tremendous development of Carl Zeiss Meditec during this time is by far not only my success it is rather the success of the executive and the supervisory board. It's the success of our SBU heads of the executive leadership team, numerous teams all over the world and thousands of colleagues who have worked with us. This success is their success, and I would like to sincerely thank all of my colleagues for their passion, dedication, and all their effort. The strategic position of our company is really stronger than ever. I have no concerns whatsoever that Markus Weber and his team will continue the success story of Carl Zeiss Meditec. I would like to thank all of you in this call. We have learned to understand each other and I have sincerely enjoyed the discussions with you over in the meantime definitely more than 40 calls. Thank you very much for the trust and your interest in Carl Zeiss Meditec. The reason for my departure is clearly a personal one. I’m at a point in my career where I would like to learn and do something new. And as you know, I was appointed President and CEO of Heidelberger Druckmaschinen AG as of April 1, 2022. Possibly, we will meet in my new company in the future. So, yes, that's basically all I have to say on my personal situation. At this point, now I would like to hand over to you Euan Thomson, and Euan is our Head of the Strategic Business Unit Ophthalmic Devices, and he will give you an update on the new product introductions of the last month. Euan, please come here and give your presentation.
Euan Thomson: Thank you, Ludwin. I'm very pleased and excited to talk to you today. This is a very interesting and I think energizing time to be in ophthalmology at Carl Zeiss. We have a lot going on, and what I'll do today is I'll talk through some of those developments and give you kind of a deep dive in one of our workflow solutions, the cataract workflow solution, and also talk a little bit about our digital strategy. Okay. So, here's in a bit more detail what I'll cover. I'll look at some of our device releases, particularly the phaco device. I'll talk about our medical ecosystem, and explain what that really means, and then give an example of how we roll out and deploy and make use of our medical ecosystem for our cataract workflow solution. I'll talk a little bit about the new technologies and then give you an idea of what that means for the future. Briefly my own background, I'm a physicist originally from London for the last 20 or so years I've been in the Bay Area in Silicon Valley. I am mostly as CEO of I'd say higher technology companies, more advanced technologies, robotics, digital technologies and data science companies. Okay. So firstly, I should say, we're very pleased and proud of our achievements in ophthalmology. We've generated significant growth even through COVID we were robust and strong. Our overall CAGR representing more than doubled the overall CAGR of the market itself. And we believe with our latest developments, our new solutions and technologies that we're producing together with the digital ecosystem strategy that we are in a very good position to keep that growth going, and perhaps even to generate even stronger growth in the future. Specifically, you'll see, as you read these on the right, each one of our business units has a slightly different strategy when it comes to digital, but digital underlines -- underpins each one of them, and it will be a very important feature of the business going forward. Okay. So one of our big differentiators in the space is the organization of our technologies into workflow solutions -- excuse me. So we are very proud of our technologies as Zeiss brand reflects quality in technology. We believe we produce the best devices in the industry, but in addition to that, we add value by organizing these technologies into workflow solutions. These solutions actually reflect the working practice and the clinical flow that exists at each of our customer site. So, our theme is really not just producing the best technology and having kind of a transactional relationship with our customer, but we really understand the way in which they run their businesses and we organize the technologies so that they can improve efficiency and even in some cases improved clinical outcomes. So, this workflow solution strategy really started in COVID when workflow was extremely challenged by the new normal environment, increased requirements for sterilization, for social distancing, but we've continued it through and it's now really become a feature of our business, and our customers appreciate this very much. We see ourselves as a very strong partner of our customers, and we've moved way beyond the kind of transactional relationship that you have if you're really just focused on sales. And what I'll do is I'll do a deep dive into one of these workflow solutions, the cataract workflow solutions and show how it's underpinned by digital. But the reason this is such an exciting time in particular for the cataract workflow solution is that launch of our phaco device is much more to us than simply a new revenue source and a new device. The phaco device completes our end to end technology base for cataract, which means that now customers can complete the entire workflow, the entire procedure, just using Zeiss devices. And these are connected as you'll see in a second using our digital ecosystem so that they gain value from having an all Zeiss environment. But the phaco itself is also a very strong device, and we firmly believe this is a next-generation technology for a number of reasons that I'll explain. The first of them -- the first of these reasons is really the inclusion of what we call the Quattro Pump. Now during a lens replacement procedure, some of you may know, is very important to maintain a stable anterior chamber. This is a chamber that really encapsulates the lens. The old lens has to be removed. It's broken up. It's fragmented by the phaco device and the fragments have to be sort of brought out of the capsule. In that process, there are some risks involved of course there's a fluid in and a fluid out. And if these aren't maintained imbalanced then the capsule can potentially collapse or even worse. It could even rupture, if there's too much fluid in compare to the fluid coming out. Now, normally balancing fluid in and fluid out is manually controlled by a surgeon, and it requires great skill and great attention during the procedure. With the Quattro Pump, we have an automated monitoring system that measures the fluids that comes out of the capsule and balances the fluid in, so that the stability of the capsule is maintained automatically during the whole procedure. So this not only takes some of the pressure off the surgeon during the procedure, but it also provides a more streamlined workflow approach and can even add some, I'd say, security and potentially safety for the patient as well. So, this is very advanced, it's very differentiated and we know that this is a unique feature in the industry. The other thing that we've done as we rolled out this, as we've taken advantage of our connected environment to connect the phaco system to our microscope, and what that means for the surgeon and for the team in the room is that they now have a kind of integrated digital cockpit that shows the operating field from the microscope combined with all the phaco settings and all the lens selection and the objectives of the surgery itself. So, all in one integrated screen environment and it's easy for the surgeon and the team to monitor exactly what's going on, the phase of the surgery, which again, adds to the efficiency. Okay. So then on the theme of connectivity, I'm going to briefly describe our ecosystem and then I'll do a deep dive into the cataract workflow to show how this digital connectivity is taken advantage of. And it's really the cataract workflows, the first of our digitally enabled workflow solutions, but there'll be many more to follow. So when I describe the ecosystem, I usually talk about these layers of value, which reflected here in this image. So the base layer of value is the devices. Now, of course, we, at Zeiss, as I've said as Zeiss, we have a strong focus on the devices themselves, and we firmly believe that we produce the best devices in the industry, but in addition these devices are now connected solutions. They connect to each other, but they connect also to our cloud, the cloud platform that we use, we call it our health data platform. We've managed to build in partnership with Microsoft. It creates an environment which we believe is unique, not just in ophthalmology, but also throughout the medical industry. We address the issues of security and compliance of storage of data, access to data and transfer of data. We also have a strong focus on the type of data that is produced in the ophthalmology space, images and videos, patient data, all of these are optimized inside the cloud, for easy access and easy transfer and an easy referral, for example, of a patient from one stage in the procedure to the next. And then the third layer of value shown at the top here is our application layer. These are the software applications that really add value from a customer perspective. So each one of them provides features, which enable more streamlined workflow for example, also integrating artificial intelligence to add some new features and capabilities and overall creating this very kind of attractive environment for our customers, that actually goes beyond the value of the technology itself. So let's have a brief look at what that means for cataract workflow. So firstly, every device that's used, as I've mentioned, can now be a Zeiss device and each one of them is connected to the cloud. So in terms of patient flow, the first step in the procedure is the biometry. So the first step in the procedure with biometry, that's a power calculation of power measurement that the surgeon carries out to make sure they selected the right lens data from the patient then goes into the cloud because it's in the cloud, it's accessible by the next stage in the next stage of the procedure, the surgical planning. So we have two options for surgical planning, our forum family, EQ workplace, and also our cloud-based Veracity software. This now automatic data flows automatically into the system. When the surgical plan is produced, it flows out into the cloud and it's then accessible in the operating room by our operating room devices, namely the microscope and the phaco system. Those two, as I've mentioned, are connected together and form this sort of cockpit of the operating room with this combined display. Now, we've also produced new application, which is shown here as well. So, on the left there, you can see what we call our eye guide. Eye guide again unique in the industry, it helps our customers manage patients. So, it provides patients with tailored information. Each of our customers can tailor the information to their own clinical practice. It then reminds the patient of each thing that they have to do to remain compliant both before and after surgery. And it will even manage appointments and give them reminders. So you'll hear a little bit about our customer's perspective on this in a minute. Next, we have the FORUM Cloud Viewer. This takes advantage of the fact that all the data are in the cloud to enable more flexible work in practice. So, we have -- our customers can now access the data from anywhere and operate in a more kind of flexible way, which is fitting with modern working practice. And then on the right there, the Surgery Optimizer app, and I'll talk about this in just a little bit more detail. So, we're proud of this development and this captures the video image that's produced by our [Audio Gap]. So, let's just see how we present this integrated workflow solution to our customers. [Audio/Video Presentation] So, very important messages there that you saw come out. We firmly believe, as I said in the quality of the individual technologies, the individual solutions, but when we linked them together and created an integrated workflow, we add another layer of value, which is firmly appreciated by our customers. As you'll hear in this next video, which is really customer opinions and feedback on some of the things I've been showing you. [Audio/Video Presentation]
Euan Thomson: Very good. So, this is significant, clearly, it's significant. This completion of our portfolio of devices in surgery together with this underpinning digital strategy that enables improved workflow and benefits from having all Zeiss' portfolio products in the clinic, really opens up new market possibilities, and you can see there's plenty of room for growth. At the moment, we really have less than 10% market share of the very, very large market. So, we feel we're very well positioned now to gain market share and to take on all the companies that also compete in this space. So that's what I finished with. Really what I hope to have got across today is the idea that we have these three kind of pillars of growth that we believe will drive our future growth. The first this approach to solution selling, the way that we position our technologies and organize their technologies so that they don't just add value by themselves, but they also aid the efficiency and the operating practice at each of our customer's clinics. We have a very differentiated digital strategy which now underpins everything we do and aides that efficiency and that streamlining of the workflow and also offers new applications and new features to the industry, which have not really been available before, some of them even connecting to the patient and also improving with such things as standardization and education. And then of course our focus on technology will continue. These strategies of solutions and digital do not replace our focus on technologies. They add to our focus on technologies and as well as these releases, which have been made recently of a very important new devices, you will see more of this going forward as well. So thank you very much.
Dr. Ludwin Monz: Yes. So just thank you for listening and one technical remark again. We’ll take a quick break, let's say 7 minutes to 8 minutes, and around 11:00 AM, we'll see you in the other session where you get the chance to ask us questions. We'd prefer for you to lock in, not through the phone, but through the desktop or through the iPad app. So that you can ask questions easily by raising your hand and we'll call you up. If you have to dial in by phone, no problem, I will ask a couple of times during the Q&A session, if there are remaining open questions by phone, but if you can please try to dial in through the teams app. Thank you very much and see you in the other session. You have the link in your invite. We'll start around 11:00 AM. So see you there. [Audio Video Presentation]
A - Dr. Ludwin Monz: Yes, welcome back to our presentation and the Q&A session. So, I hope you enjoyed the presentations. And let me just see here. The first question goes to Patrick from Bank of America. Patrick, please go ahead.
Patrick Wood: Perfect. Thank you very much. Hope you guys can hear me and thanks for taking the questions. Two please, if I can. I guess the first one would be QUATERA where, how are you guys thinking about the commercialization over the coming 6 to 12 months? How are you going to speak to existing customers of competitors and really convince them to shift over? Is it really about that clinical data and the ability to fluid management? Is that the angle that you're going to commercially go in with? So that's the first question. And then second question. I'm just curious how things are looking in China. It's obviously a very important market for you guys. I mean, we see all sorts of headlines. I noticed first is 2019, Q4 is in APAC slowed a little bit, but maybe that's just something that happened in the prior. So any commentary around how the market is looking in China would be great? Thank you.
Dr. Ludwin Monz: Now, thank you, Patrick, for your question. I start with the second one and then Euan you can talk about the QUATERA question. Yes, China, I would say China really is extremely strong, and looking at the pandemic, I mean, there's almost nothing left in China on the pandemic. China was only impacted in the very early in the first phase. And after that there was no COVID-19 anymore in China. So the Chinese economy remains to be extremely strong, and we see really a good development without I would say basically without impact of COVID-19. And I would expect that also to continue. So what we are benefiting from is really a positive development of our business in China very low impact by COVID-19. And the first question on QUATERA rollout, Euan, maybe you can take that?
Euan Thomson: So I guess I'll start with the clinical experience we've got so far -- excuse me. Yes, so I'm happy to start with it. So, firstly, clinical experience is a big part of the story already. We've already carried out more than a thousand procedures with QUATERA. So, we have a great deal of confidence, and obviously, there's coupled with that, there's a surgical experience itself which creates the advocates and some of those you heard from earlier in the video. It'll be a steady rollout. We have CE mark, but we still have to get some regulatory approvals and registrations in other parts of the world, so that we can address that the U.S. and Asia Pacific. In terms of our about building our team, of course, we already have a strong market presence with the microscopes and the other technologies we produce in the surgical space. So, we have a great deal of relationships already. And we've already been building our team so that we have sort of stronger phaco technology experience specifically inside the team as well. So I think what you can expect is as I said, a fairly steady roll-out, which will slowly become a global rollout, but we're very well-prepared and the features of the system that I mentioned in particular the Quattro Pump, and also this sort of integration capability with the microscope, we're finding these have been really well received by our customers. So they're already very excited.
Sebastian Frericks: Then next question to Scott from Berenberg. Scott, please unmute yourself.
Scott Bardo: Yes, thank you very much for taking my questions. And first of all, I just like to say to Dr. Monz, it's been a pleasure working with you over the many years. It's been a great ride and look forward to -- and I wish you all the best of success in your new role and welcome Dr. Weber. So, first question, please. I just want to get a little bit of a feeling for some of the assumptions underpinning your 2021 outlook. I appreciate these are somewhat -- sorry 2022 outlook, I appreciate these are somewhat uncertain times, but perhaps you can talk a little bit to how you see the gross margin progressing next year, and whether the EBIT margin contraction is all operating costs or whether you would anticipate some adverse mix into the following the prospective year, that would be helpful to understand? I guess, what I'm trying to get the bottom of is whether we see some normalization of laser refractive correction after a couple of very strong years. And the second question, again, relates to Quattro please. Perhaps from a technical perspective, unsurprising your major competitor here Alcon is defending its position. They are suggesting that Quattro uses older disruption technology ultrasound straight tips rather than bent tips for the phaco modification, and that you do your intro ocular sensing within the unit rather than close to the eye. So, they are suggesting that this is a good product, but one that is not hugely disruptive. And so I would love to hear your counter arguments to those statements?
Dr. Ludwin Monz: Thank you for the question, Scott. I will start with the second one and then -- you can add to it, and then -- takes the first one on the assumptions for the planning. Well, if I was a competitor to Zeiss, I would also defend my own technology without any doubt. And in the end, the users, the surgeons will decide. All we know is the feedback we have received from the surgeons who have used the technology, right. And they tell us that this is clearly differentiating and that this is not just a slight improvement by bending or straightening a phaco tip. This is really a new world, but that's users saying that and I believe they will decide in the end. So, let's wait and see I'm more than optimistic believe me. Euan.
Euan Thomson: I don't have much to add. We're not expecting to sell many devices to Alcon. So, of course, their opinion is important, but not that important to us commercially. As Ludwin said, it's the opinion of surgeons and customers that matters most. And as Ludwin indicated, I mean universally positive. And that's genuine, I haven't heard any negative feedback from customers, it's all been positive. And I think, when you roll a product like this out, you sort of have faith and confidence in the features that you've created. But until you've really put it into the market and shown a broader audience, it's really hard to know whether your judgments have been correct. But we've been really positively surprised by the strength of opinion of customers have shown, I'm showing it them. And again, as Ludwin indicated, very, very positive feedback and feedback from our customers indicates that they believe this is game changing for phaco.
Dr. Ludwin Monz: Scott, hello, from my side to you, and you're asked about the assumptions for '21, '22 specifically gross margin EBIT contraction, what other reasons and normalization of Rev. So, I'll give you a couple of thoughts. On the gross margin, I'd say, yes, we will see some pressure. We clearly see out of the supply chain, like everybody else, some I'd say, rather irrational price development in some components, simply driven by the scarcity of some products, as everybody knows. And we actually anticipate that this may put some pressure, especially in our device area and honestly it becomes increasingly unpredictable. What sorts of components are short in supplies? And so we have to strategically purchase right now and actually, to some extent, even create some buffers for some products in order to be actually listed with our demands, and that were put some dent on the device margin. On the mix, I'd say and that answers already the third part of your question. Let's remind again, last year was heavily skewed in terms of the product mix, towards consumables, especially for the first half of the fiscal year. The device business then came back to old strength, mainly during the second half. I'd say for this year, we would -- should see a somewhat more normal mix, starting in Q1 and that as you know. Even though, we are confident that our refractive business and the treatment pack consumption will grow. But I'd say overall, we should see a slightly more normalized mix. And last, but not least, yes, of course, I think we will see some pressure on OpEx. And again, I think, I made the comment earlier to you. Even as much as we reduce some traveling, but the dollar per mile being traveled is at a level unseen before. So even if we cut down on some of our customary traveling, we clearly anticipate that especially in our sales and marketing expenses. We will return to levels that will clearly be on a higher level than what we have seen last year.
Scott Bardo: Thank you, guys.
Dr. Ludwin Monz: Okay, thank you, Scott.
Sebastian Frericks: Anyone else who wants to ask a question, please raise your hand. If not, let me -- if there are currently no, I mean I just checked. Yes, Markus pleased, Markus you get the next one.
Markus Gola: Great, thank you. So I just have two left. So my first one would be on your guidance, which I appreciate that the range initially is always wide, but maybe what are the components or what would need to happen, that you really come out at the lower end and hence all you're achieving EBIT margin of 19% by the end of next year, which would be actually quite a contraction, I would say? And my second question is a bit on your order intake and order situation in general, it was quite impressive with 1.7 billion. How much of this would you have been able to translate into sales at the normal conditions? And how long will it take for you to process your inflated order book? And with that, maybe you can give us a glimpse on how Q1 is going so far, given the current volatility? Thank you.
Dr. Ludwin Monz: Yes, thank you, Markus, for your question. Regarding the outlook, look, the last year, we, as we explained we could benefit substantially from extremely strong recurring revenue. There was certain pent up effect because patients were not treated in the first COVID-19 years. So, we saw a strong pick up. And that resulted, as I showed in my presentation that resulted in a very high share of recurring revenue. And as you know, recurring revenue business is more profitable than the equipment business and this is why we saw that increase in profitability. Now going forward, that's hard to predict. So first of all, our assumption clearly is that we will continue to grow in recurring revenue. And that's certainly a positive trend. And then, there is the negative trend, as we explained on the cost side, so our cost for sure, will grow. And that's true for sales and marketing, as a travel costs will start to kick in and also the trade shows, which is significant. So, we will have a higher cost there. And as we've always pointed out, we will continue to invest on a high level in research and development, in particular, in digital technologies. You see the first results of that, but that will go on. So it's these two effects. We believe the equipment business will grow, that will shift the mix and the profitability, and probably a little bit decrease, but at the same time we see the overall growth. So it's many factors. And that's basically the explanation why it's so difficult to predict this. And now, if you move all these parameters to the low end, you ended up at the lower side of our forecast. And how likely is that to happen, it's a range and the uncertainty as you know, is really high. So, that's difficult to predict where we will end up. On your second question, Markus regarding the order intake, I would say another difficult question because it depends mainly on the supply of components. And as Euan was saying before the challenge here really is that every day we have a new challenge, right. We fix the supplier of one component and then there is a new component, which is a short or difficult to get. So, this is why, it's so difficult to predict. Usually, the orders on hand that we have, let's say, six weeks reach or so. Right now, we have three months. That shows you a little bit how significant that effect is. And for sure, we will work very hard to reduce that and get it back to the six week level, and you can easily calculate what that means in terms of revenue. So, there will definitely be a positive effect. But, believe me, I would be happy to give you a prediction how long it will take to reduce it to normal levels, but I simply don't know.
Markus Gola: Great, thank you. And all the best for the next step in your career.
Dr. Ludwin Monz: Thank you very much.
Dr. Markus Weber: Thank you, Marcus. So, next one would go to Oliver. Oliver, please.
Unidentified Analyst: Yes. Thanks very much for taking my questions. Three if I may. Also the first question is on OpEx. We obviously have seen quite a sequential improvement jump actually in Q4. I think that was up to $36 million or 25%. Can you just talk about, was this purely operational or has there any kind of factors being playing a role that you may consider as one-time in nature? I'm just trying to get the kind of feeling, what is it kind of a one-way in terms of operation expenditure? Secondly, in terms of the new upcoming phaco launch, can you just talk about how frequent do you see issues in terms of a chamber collapsed or ruptures that you talked about? And also, I guess it's a kind of new product that comes to the market. How easy is it to explain and showcase this to kind of clients in this kind of current pandemic environment? And the third question, please, can you just provide an update in terms of the uptake of VISUMAX in the U.S. market? Thanks very much.
Dr. Ludwin Monz: Yes, thank you Oliver for your questions. So, the first one on OpEx, Justus, maybe you can take that.
Justus Wehmer: Yes, hi, Oliver. So, just some flavor on it, first of all, yes, your observation is right. It was, roughly $35 million, mainly sales and marketing. Let's all remind in the fourth quarter, we actually had trade shows in basically all regions again. And as I said in my comments on the slides, these were so called, old-fashioned trade shows, really with presence, with systems that we have displayed on the booth and so on. And that actually culminated all in that quarter, with shows in the U.S., the European show in Amsterdam and others. We also shouldn't forget that, we also had an increase in R&D. We have seen the launches, and as you can tell, basically, on the last meters, so to speak, before finishing line, you obviously always have that ramp up, and this time maybe, highly accentuated than typical, because a number as presented by Euan of a milestone innovations were brought to the market, and that simply consumes then higher resources. So, I'd say, these were the two main drivers explaining that OpEx jump now.
Dr. Ludwin Monz: Thank you, Justus. Euan maybe you can comment on the phaco launch.
Euan Thomson: Yes, of course. So, the way in which we are bringing it to market, I'll comment on that. So, we've of course, as Justus just indicated, we are back in kind of a trade show environment now. Most of our shows are taking place, attendance is down a little bit still, but people are there and people that have real interest in sort of buying into technologies, new technologies, definitely they're paying strong attention. We're also able to engage back with our customers now as well. So our sales force is active for the most part. They're allowed into buildings, and we're able to take the technologies into our customers in a way that is pretty reflective of the way we used to operate pre-COVID. So there's no real hindrance to this. Having said that, we are in a very steady roll-out country-by-country, we're not taking this to every country because we need to build the capabilities inside the sales team. The expertise to really have these detailed conversations with customers and help the customers use it, and to demo in real life. So, it's a steady roll-out, but it's I'd say more conventional than might've been expected, because we're really operating in a way, which is reflective of the way we used to operate. In terms of the chamber stability and they don't have exact numbers, but one thing I can comment on it is that the speed at which our customers understand the way the system works and the benefits. And it's been really reassuring to have people get up to speed with this incredibly fast because you're really taking away something that they used to have to worry about and the technology automates it. So they get that very quickly. And we hear these messages that we wanted to hear, strongly echoed back to us that this chamber stability is differentiated, that they care about it, and that is intuitive and very easy to achieve the type of stability that we were targeting. So, as I said already, we feel very positive and strong about -- positive about the strong response from customers.
Dr. Ludwin Monz: Thank you. Euan. And Oliver, your third question on femto technology SMILE in the U.S. I can only say that this is progressing well. The market reports and what they basically show is that there is some growth even in refractive surgery in the U.S. in a laser vision correction in the U.S. mainly driven by SMILE. And as you know, all products that provide this technology. So, we see a nice continuous growth, which is driven by a few more installations of devices, but at the same time by a higher usage of the devices, and that is what is important, because the usage depends on the confidence of surgeons on the skill level of search and to use the technology. And here, we also see a very nice progress. So overall, we continue to be optimistic, and I can only repeat what I said in previous calls. It's going to take time, because this is about replacing an existing product based, laser base in the market where people are making money with without further investments, replacing that now with the new technology, that just takes time, but it's going to happen. I have no doubts it's going to happen. And it's just a matter of time until SMILE will become the leading procedure also in the U.S. that's my firm belief. You just have to be a little bit patient.
Unidentified Analyst: Thanks very much.
Sebastian Frericks: Thank you, Oliver. Just before I go to next in line that would be [Manon] and then Patrick, and Scott who have a follow-up, let me just quickly check here with some of the folks on the phone. Falko, I think you indicated to me, you had a question, so I would just check with you if you have one. And after that, give more people on the phone, the chance to ask questions. Falko or maybe your questions have already been answered. So, just anybody else who's on the phone, on a first come first serve basis.
Falko Friedrichs: Hey, it's Falko from Deutsche Bank. Thank you, Sebastien. And I would also have three questions please. And the first one is a little bit more short-term oriented and it is about Q1. The pandemic is obviously still with us while there are some lockdown restrictions in certain countries. Can you provide a bit of insight on how Q1 is going so far? So Euan whether these restrictions has been a bit of a headwind or whether you've been naturally unaffected by that? Then secondly, it might be a bit repetitive, but I still think it would be helpful. It is about the launch timeline of the three new products, right, the laser, the intraocular lens and the phaco. Would you be able to relatively precisely tell us when we can expect the sales from these products? Or putting a differently, when should be baked sales into our model, just in terms of the timeline for these three products? And then the third one is sort of a typically one, at the full-year call it's about M&A, and what's your thoughts going into next year? You obviously have a good amount of firepower still and whether M&A is something that is pretty high on your agenda for 2022? Thank you.
Dr. Ludwin Monz: Thank you, Falko for the questions. Before, Justus talks about the Q1 numbers, let me just comment on the background of that, which is the COVID-19 situation. The first wave of COVID-19, two years ago, there was really a stop of treatment of patients. And so, treatments were postponed in order to relief the healthcare system and make room for COVID-19 treatments. That has changed in all the following waves. And so the second, third and fourth wave, this was not the case anymore, and I would not expect this to return. So in other words, the treatment of patients is more or less back on the level that we had seen before. Now Justus, maybe you can talk about the number.
Justus Wehmer: Yes, of course, I cannot talk about the numbers at this point, but at least I can give you a flavor of Falko. So, you asked about headwind. I'd say, the headwind is in the supply chain. The headwind is certainly not in what we observe in terms of orders. And I can also share with you that revenue has been on a good path. Our operations teams are doing a great job to basically ship what can be shipped and improvise where needed. So from that perspective, I'd say we are looking confident just the arriving it from the order income and not only the order backlog, but what we ultimately can ship is a question or a function of the supply chain and that is probably tougher to predict. But overall, I'd say we are certainly satisfied to how the fiscal year starts.
Falko Friedrichs: Thank you, Justus, and then Euan about the time plan for launches.
Euan Thomson: So I think I'd go back to something I said before, which is each of -- I'll get back to some I said before, which is each of them is really on a timeline that's dependent on regulatory clearances to a large extent. And each one of those products is on a different timeline. In terms of your model, which I think is where you are going. I would say, you wouldn't see you wouldn't expect to see significant revenue impact from these devices during the next 12 months. I think the important thing to track in terms of modeling would be the installed base. So as much as we're successful at rolling these products out, we'll be building an install base. And of course because of the consumables element to both the laser and the phaco device, that will be an indicator of how we would expect that consumables revenue to grow in the future. So, short answer would be, I don't expect in the model to show major impact from any of those devices during the next 12 months. But please do track the install basis as an indication of the future.
Dr. Ludwin Monz: Thank you, Euan. Regarding M&A, I kick it off last time talking about M&A and then give to Justus maybe to fill in. Look, all I can tell you is, in the past, I always said M&A is high on the agenda and we've always screened opportunities and try to identify things. The moment there is something to announce we announced it. And obviously as we have not announced anything, there is nothing to announce. So please understand that, I mean, that's just the way it works. What I can tell you going out of here, that till the last minute, our priorities have not changed. So, M&A has been a constant discussion. And from all I have seen, I would expect that to go on, but Justus you can talk about that.
Justus Wehmer: Not much to add, actually. And we always said it must be technology wise, a fit and financially wise viable. And that's basically our guidance for that. And the one comment that I just make, because, as you learned, I know Markus Weber well enough don't expect any change in terms of our willingness to use M&A also with the new CEO as you have heard. I worked with him for four years, so I know him well enough to make that statement. Yes, thank you.
Falko Friedrichs: Okay, thank you. And Ludwin also from me, all the best for your next career steps.
Dr. Ludwin Monz: Thank you, Falko.
Sebastian Frericks: Okay, just before I go onto raise hands. Quickly are there any more questions on the phone and later I'll get another time to people on the phone. If there is anybody else on the phone, please go ahead. If that's not the case, I would go to [Manon]. Please take that you get the next one.
Unidentified Analyst: Thank you for taking my question. I just have one please. Looks like you spend R&D expenses over the last few years at least as a percentage of sales, before it was more around 12%. So is that 14% to 16% of sale the kind of new normal in more competitive environment? Or is it a special push? Thank you.
Dr. Ludwin Monz: Yes, Justus you can take that.
Justus Wehmer: I mean, your observation, of course is right. If we really historically look back on a longer period, it was typically between 12 and 13. You just heard about the special concentration of major launches that we, I think, explained in detail. So, I'd say from my perspective, you have seen a peak now, but the range of 14% and plus is probably something that will continue also through the next at least one or two years.
Unidentified Analyst: Thank you very much.
Sebastian Frericks: Okay, I think there's a follow-up from Scott, if that's correct, Scott.
Scott Bardo: Yes, thanks, Sebastian. Thanks for taking the questions. So maybe first question please. Just want to stand a little bit more the commercial strategy surrounding the QUATERA launch. I just wonder, if you could talk a little bit about your cartridge volume or production capacities? And what considerations there and whether you have enough resources to meet anticipated demand? And whether you also intend to broaden this into sort of custom pack offering with lots of different and surgical consumables, which is a model that is adopted in the industry? Lastly on there, so I wonder if you could share some thoughts perhaps about the relevance and importance of having a complete portfolio of IOLs, particularly in some select markets for the higher powered IOLs whether this X is any hindrance if you like to the initial market adoption in select markets? So that's the first question, please on, quick narrow. The second question, please, on microsurgery. I wonder if you could just give us an update please as to where we are in the KINEVO, PENTERO replacement cycle, and whether there's any other topics you can discuss about the other launches here TIVATO, EXTARO in other segments? And maybe last question, please, if keeping up with these notes. I wonder if you could just give us a sense of the end market in Asia for refractive correction is clearly being very strong indeed? And are you seeing continued robust growth in that market or should the expectation be moderation here? Thank you.
Sebastian Frericks: Thank you, Scott. So maybe you get started, Euan, on the.
Euan Thomson: So the commercial rollout again, country by country, steady, we feel well prepared for this -- sorry, we feel well prepared for the commercial launch. It's a steady rollout by country. We've been building our capabilities, building customer relationships. We have a large number of customers who've been exposed to the technology already, many of whom have actually had an opportunity to use it, either in a laboratory environment or in a real world environment. So, we have our customer advocacy base is built. So we feel we're well positioned. Regulatory clearances will control the speed of the rollout to a large extent. And I've talked about those already. They will be steady and they'll happen in a somewhat unpredictable way, but we're very focused on them and you can expect some progress with those over the next year or so. Consumables ramped up. I think the short answer is yes, we do feel well prepared for this. We have capacity that matches our forecast or exceeds our forecast. So, we feel well prepared to be able to ramp up as much as fast as the market will demand. I guess the only thing I would add is that, our expectation initially was that somewhat we would get a percentage of the existing replacement market with QUATERA. And that we know what that is in the industry clearly, as I'm sure you do, as well. Our expectation now is that should at least be true. That the positive response we've got. We actually feel in some cases and we've seen early signs that perhaps in some cases we can drive that replacement cycle a little bit faster, because people are so attracted by this concept of a next generation technology. It's been a fairly static technology market for some time and that's one of the reasons for the excitement, I think. And for the IOL portfolio, yes, we are well aware we need to stay focused on that as well. We see that as upside an opportunity. It only goes in one direction, which is to slowly increase that portfolio overtime, and we are very focused on that. And again, controlled by the regulatory process to a large extent, but in terms of the R&D investment and the number of projects we have, it's clearly a very big focus for us, and we should see results overtime.
Dr. Ludwin Monz: Scott, I might give you also some confidence regarding production capacity just compared to with the treatment packs for refractive surgery, because that's a business where we have been in a constant ramp up now for years, right? And we have always managed to ramp up the quantities as needed, and the capability to make high volume consumable is actually there. So, I'm really confident, when it comes to that. Let me talk about microsurgery. I believe that the replacement of the PENTERO base is going well, and it will even accelerate a little bit now through TIVATO, and TIVATO actually is a incredible success story. And, we see a huge demand for TIVATO, which as you know has a very attractive feature set. It's a little bit defeatured compared to the KINEVO. Therefore, it has a very attractive price point to customers and that makes it actually a good product for many segments of the market that we could not address with the KINEVO. So overall, we are quite happy with the product price and we see now that the TIVATO also sells into segments like ENT surgeries, spine surgery and things like that, which add to the potential. So, I believe that has a great future. The unfortunate reality is that, as we said before, this market segment is still impacted by COVID more so than ophthalmology. But the potential is there, and it's just a matter of time, and we will be able to utilize that potential. Final thought on refractive market development. I mean, it's just amazing what that market is doing. If you look at it in Asia and there are no signs that, we have reached a point where the market would be saturated or so. So, I believe the growth will continue. That's something that is strongest in China, in South Korea. These are the, as you know, the leading markets for refractive. But now we also see other geographies like Europe and also in America, where SMILE becomes more attractive. Both physicians and also patients now understand the benefits of SMILE procedure compared to LASIK, and that also adds to market growth. And so, overall, I believe, we will see still good and positive development of that market.
Scott Bardo: Excellent. Thank you so much.
Dr. Ludwin Monz: You're welcome.
Sebastian Frericks: So, the next one would be follow up I think from Patrick. Patrick, do you have a follow-up?
Patrick Wood: Perfect. Hopefully, I have two very quick ones, which hopefully shouldn't take too long. So thank you for taking them. On the first one, just curious to see your outlook for the relative mix between premium and standard IOLs and how you feel that mix is going to develop, 2022, but also just the next, let's call it three years or so. So that's the first question. And then the second one, any views or updated views on the Chinese VBP program, and how that may affect or indeed not affect you guys? Thank you.
Dr. Ludwin Monz: Yes, let me start with the IOL mix. I think that there has been a trend towards more premium IOLs for years, however, do not overestimate that trend. It's just that some companies have started to talk more about it, but look at the numbers. Yes. So, I believe that the total market development shows yes. There are more premium IOLs being sold, but that's not a fundamental change in the market. I wouldn't expect that. Now looking at really the market size, it depends on where you come from. If you pick a company certainly have one in mind that is strong in the standard segment. Yes, for them, the growth opportunity is in the premium segment. If you pick a company that is strong in the premium segment, the opportunity is in this standard segment. You probably also have a company in mind for that case. So, this is why I would say, I mean, we’re quite optimistic regarding the product portfolio that we have. We've significantly gained strength with our portfolio in the standard segment. We have been the leader in the premium segment with the LISA tri that is the leading product in that segment. No doubt, yes. Definitely on a global basis, it's not approved in certain markets like the U.S. of course and then other companies that dominate that market. But again, I believe that for Zeiss, the standards segment opportunity is huge and Zeiss will definitely use that opportunity. On China and that development on prices, actually, I don't have news to be honest as I haven't heard of that for a while. And what I have seen the last two years, and I have to say is not much changed on that front. So, the prices seem to be stable. The premium segment is not affected yet. And I wouldn't expect that to change, but of course in China, you never know. So, it might be different, but that's what we see right now.
Patrick Wood: Of course, thank you for taking the questions.
Dr. Ludwin Monz: You're welcome.
Sebastian Frericks: Okay. At the moment, we have no more questions here in the team's app. Just another chance for people on the phone. Just on a first come first serve basis. Just jump right in, if you're on the phone, and if you have a question. And of course, everybody feel free to raise their hand again, if there's anything left that we haven't discussed. If that's not the case then we'll slowly come to the close here. Ludwin, do you want to close?
Dr. Ludwin Monz: Yes. Thank you, Sebastian. Ladies and gentlemen, I would like to thank you for joining us here today. Thank you for your interest in Carl Zeiss Meditec. As you know, this was my last Analyst Conference with Carl Zeiss Meditec, would be nice if you were shifted your interest to printing industry. So whenever you are interested, you're welcome to join us later with a Heidelberg. That's definitely also an interesting company with lots of potential. Anyhow, thank you again. Wish you all the very best. Have a nice year end. And hopefully, a few days of relaxation. So, I'm looking forward to meeting you in a different constellation then and all the best. Bye-bye.